Randy Giveans: [Call Starts Abruptly] limited to, future expectations, plans and prospects from both a financial and operational perspective and are based on management assumptions, forecasts and expectations as of today's date. Actual results may differ significantly from our forward-looking information and financial forecast. Additional information about these factors and assumptions are included in our annual and quarterly reports filed with the Securities and Exchange Commission. So with that, I will now pass the floor to our Chairman, Mr. von Appen. Please go ahead, Dag.
Dag von Appen: Thanks, Randy. Good day to everyone. Welcome to the Navigator First Quarter Earnings Call. First, I would like to thank the Navigator staff and ships cruise for their hard work and dedication to delivering high quality service to our customers. We are very grateful to all our seagoing staff that continues to be impacted by the pandemic and part of it being strongly affected by the Russia-Ukraine conflict. Thanks to strong teamwork, the merger integration is smoothly moving ahead, we keep capturing synergies and our results continue to improve. Special thank you goes for the management committee comprised by Niall, our Chief Financial Officer; Oeyvind, our Chief Commercial Officer; and Michael, our Chief Operation Officer, as they have been leading the company and working together as a high performance team throughout the merger. And we're very glad to have the new Houston office up and running with Randy in charge of our business development in North America and Investor Relations. Second, on behalf of the Board, I would like to extend our huge appreciation and gratitude to our longer service Board member, Alexander Oetker, and to the valuable support of Andreas Beroutsos. Both have stepped down from the Board when we decided to reduce from nine to seven members. Although no longer serving on the board, both remain committed to the ongoing growth and development of Navigator Gas as active and supportive shareholders. The world is going through special times, with amazingly volatile markets, huge pandemic and geopolitical disruptions and at the same time, going green. The European energy crisis, the Russia-Ukraine conflict, the highest inflation for the years, multiple interest rate rises in short order and the latest Chinese lockdown have all created material economic headwinds and have impacted trade. But the profile of the COVID-19 economic recovery has been supportive of shipping markets with returning volumes, important supply chain disruptions, changing trade patterns and inefficiencies that may mitigate and even create further disruption upside for freight rates. Despite recent financial market jitters, several global market observers believe the economic expansion continues and expect commodity, energy and shipping markets to stay healthy well into 2023. Emission reduction policies reduced ship speeds as from next year, together with a low order book for our petrochemical gas tanker segment, I believe, will impact the market supply demand balance, creating additional volatility and improving freight rates. Of course, time will tell. Turning to the quarterly highlights on Slide 4. We are pleased to report a much improved financial performance for the first quarter of 2022 compared to the first quarter of last year. We achieved a quarterly adjusted EBITDA of $55.7 million, resulting in a strong balance sheet with $168 million in liquidity, roughly twice as much as last year, and we continue to reduce our debt levels through program debt amortization. On the commercial front, we see the market steadily improving our utilization at nearly 90% and an improving time charter equivalent of nearly $23,000. The rising freight rates can be explained by three underlying factors. First, U.S. natural gas liquids production and exports are on the rise. American propane production for April was 7% above last year and now at the highest level on record since shale gas production started. In addition, ethylene exports reached an all-time high of 137,000 tons during April, resulting in incremental demand for seaborne logistics. And throughput at the Enterprise Navigator ethylene export terminal at Morgan's Point totaled approximately 267,000 tons, achieving record profitability in the first quarter. Second, the Russia-Ukraine conflict is disrupting traditional supply sources and trade routes. The typical sourcing from the closest geographical supplier is being challenged as European customers are increasingly looking further afield in sourcing petrochemical gases, which translates into more ton mile demand for gas tankers. The same is happening to all products we transport, namely LPG, petrochemical gases and ammonia. Third, there is less substitution effect across tanker segments – gas tanker segments. Increased U.S. propane export activity is providing higher ton-mile demand for larger gas carriers, which in turn reduces the inter-ship segment competition. The same can be seen in the handysize gas carrier segment with ships employed in ethylene and ethane trades, fully refrigerated vessels employed in ammonia trades and therefore, fewer vessels available for LPG and easy petrochemicals. Lastly, on the commercial front, we completed the sale of two of our oldest vessels during the first quarter at good prices, further reducing the average age of our operating fleet. Looking forward, our outlook remains optimistic as shipping utilization and rates are on the rise. North American NGL production and exports continue to climb, supported by strong prices and supply demand of ships keeping becoming tighter – sorry, and supply and demand of ships becoming tighter. Following the record Q1 ethylene export through our terminal, we expect similar levels in the second quarter as April-May volumes have remained approximately at 100,000 tons per month. This reflects a robust end user demand in Asia and Europe for competitively priced U.S. based ethylene. In summary, we continue to see large geographical price differentials across almost all the commodities we transport. And because of this, several U.S. midstream companies have recently announced large investments targeted at NGL infrastructure, processing and exports. Because of these developments and the cost advantage of the U.S. production, we are evaluating the expansion of our ethylene export terminal in Houston, together with our partners at Enterprise. The increased size of our company, more efficient ship operations, reduced overheads and the improving market conditions are helping us to deliver stronger results. 2022 has begun with good signs for Navigator Gas, which should translate into stronger cash flows, positive earnings momentum and value creation for all our shareholders. We have the vision, the best people, the right ships, the terminal, the integrated business model, the correct strategy and the financial health to position Navigator Gas well for the future. Now, I would like to hand over to Niall, who will give you a more detailed financial review. Thank you.
Niall Nolan: Thank you, Dag, and good morning, everybody. During the first quarter, the company generated a net income of $27 million, which equates to $35 a share or $12.6 million or $0.16 per share if the unrealized gains on derivative instruments and foreign exchange losses are eliminated. This strong operational performance compares to a net income of $2.8 million or $0.05 per share for the first quarter of last year. The adjusted EBITDA for the first quarter was $55.7 million, a record for the company, which compared to $31 million for the first quarter of 2021 and to $55.2 million for last quarter, Q4 of 2021. Total operating revenues for the quarter were $119.8 million compared to $85.7 million for the comparative first quarter of last year. $10.2 million of this $34.1 million increase in revenue was principally as a result of the seven additional handysize vessels joining the fleet as part of the Ultragas transaction offset by a slight reduction following the sale of Navigator Neptune on January 14th of this year. There was an additional $13.5 million generated as a result of the revenues derived from the Unigas Pool, representing revenues from the now nine smaller Unigas vessels following the sale of the Happy Bride and 1999 built 8,600 cubic meter LPG carrier in March 2022. We also continue to see an increasing charter rate environment during the quarter, which accounted for $3.4 million of the increase in revenues this quarter as average charter rates rose to $22,933 per day or $697,500 per month, compared to $21,956 per day for the first quarter of 2021. And this was an increase from approximately the $22,500 a day achieved in the last quarter of 2021. Vessel utilization to – nudged up to 89.5% for the quarter, compared to 88.2% a year ago, contributing an additional $1.1 million to revenues. We have four vessels in dry dock during this quarter for their scheduled surveys, taking a total of 94 days and with a capital cost of $4.6 million. A further nine vessels are scheduled to enter dry dock for their planned surveys over the course of the remaining nine months of this year at an expected aggregate cost of $12.9 million and dry docking costs are the only scheduled capital expenditures we have in 2022. The operating revenue from Luna Pool was $5.9 billion for the quarter, representing our share of the other participants' net revenues, which voyage the expenses from the Luna Pool of $4.6 million representing the other participants' share of our net revenues from the pool. Consequently, our vessels had a net benefit of $1.3 million from the pool during this quarter, similar to the $1.1 million benefit in the first quarter of last year. Voyage expenses increased by 33.2% or $5.2 million during the quarter to $21.9 million, primarily as a result of the seven additional handysize vessels in the fleet, most of which were subject to voyage charters, thereby incurring these pass-through voyage expenses. Bunker costs, which is the vessel's fuel and forms part of the voyage expenses, continues to increase significantly in line with surging energy prices globally. Our vessel operating expenses or OpEx increased by 41% to $38.1 million for the first quarter compared to the first quarter of 2021 all of which was as a result of the additional vessels in the fleet during the quarter. In fact, vessel operating expenses per vessel per day reduced again this quarter by $51 per day to $7,841 per day, compared to $7,892 per day for the first quarter of last year and approximately $8,000 day for the last quarter of 2021. Depreciation on our vessels during the quarter increased by 63% or $12.2 million, when compared to the first quarter of last year. The reason for this increase are two-fold. First, there were 16 more vessels in the fleet during the quarter compared to last year, which accounted for $5.8 million of this increase. And secondly, following the company's decision to reduce the estimated useful lives of our vessels from 30 years to 25 years at December 31, 2021, the effect on depreciation was, and will be an increase of approximately $6.1 million per quarter. General and administrative expenses were approximately the same for both comparative quarters at $6.3 million with the increase of costs relating to Ultragas of $1.2 million being offset by a reallocation of technical management costs to vessel operating expenses and a reduction of costs generally associated with the closure of the New York office and other income being management fees earned from the other participants for our management of the Luna Pool was just under a $100,000 for the quarter. The unrealized gains on derivative instruments were $15.2 million for the quarter, primarily relating to movements in the fair value of interest rate swaps as the five-year LIBOR swap rates have risen significantly over the course of the last quarter. We have fixed interest rates on two of our loan facilities at 0.36% on one and 1.3% on the other. And the loans assumed as part of the Ultragas transaction each have LIBOR fixed at approximately 2%. In addition, there was an unrealized gain on our Norwegian bonds relating to the cross currency swap of $2.2 million. Interest expense for the quarter was $11 million, an increase of $2 million on the first quarter of last year, all of which was as a result of interest on the additional $183 million of debt outstanding associated with the Ultragas vessels. Our share of results from the ethylene marine export terminal was a record profit of $6.5 million this quarter. As Dag said based on 267,000 tons of ethylene throughput charges during this quarter. This compared to a loss of $605,000 for the first quarter of last year, due to pipeline integrity issues at that time. This $6.5 million profit is the second consecutively quarterly profit at this level, following a profit of $6.4 million in Q4 2021. We had previously given EBITDA guidance of between $20 million and $25 million per annum from the terminal. But now that we better understand the capability of the terminal, the EBITDA guidance for 2022 is increased to between $30 million and $35 million based on the annualized profits of the past two quarters in addition to annual depreciation at the terminal of $5.2 million. On the balance sheet on Slide 8, we see that the company had cash of $168.1 million at March 31 and a further $22.9 million available from undrawn revolving credit facilities associated with our secured vessels. Our minimum liquidity covenant from our various bank loans and credit agreements is a maximum of $50 million. During the first quarter in January, 2022, we sold Navigator Neptune, a 2000 built ethylene carrier for $21 million. And in March 2022 we sold the Happy Bird, a 1999 built 8,600 cubic meter LPG carrier for $6.1 million. Neither of these vessel disposals required any debt re payments. It is worth highlighting that both of these vessels were sold at or in excess of their respective book values generating a small profit of just under $500,000, which supports the carrying values of the vessels on our balance sheet. Our total debt at March 31 was $910 million. And has shown on Slide 9, it reduced by $22.9 million during the first quarter. Our debt comprised of loan facilities secured by our vessels of approximately $687 million, a credit facility associated with the terminal of $51 million and two Norwegian bonds, which in aggregate amount to $171.7 million. With respect to the Norwegian krone denominated bond the amount of $71 million, which has a maturity of November, 2023, we have a call option at a redemption rate of 102.864%, which we are currently evaluating. On Slide 10 we outlined the estimated cash breakeven for 2022 at $18,300 per day. This low level enables us to generate positive EBITDA in even the toughest of markets. And we have maintained cash generative throughout the shipping cycle. In the box on the right-hand side of Slide 10, we provide our expected daily OpEx across the various vessel segments ranging from $6,500 per day for the smaller vessels to $8,800 per day for the larger, more complex midsize ethylene vessels. We also provide a range for the expected annual spend for 2022 for vessel OpEx, G&A costs, depreciation and interest expense. On Slide 11, we outlined the historical EBITDA showing an uplift in Q3 2021, the quarter in which the Ultragas transaction was concluded and a further increase in Q4 2021, which takes into account the full quarterly earnings from the Ultragas vessels, as well as the doubling of the net income from the terminal. On the graph on the right and side of Slide 11, we outline with the bar on the left of that graph, the annualized EBITDA based on Q1 2022 thereafter, each bar moving right shows the potential EBITDA if the average charter rates across the fleet were to rise by $1,000 per day, giving EBITDA of $260 million if the charter rates were to rise to approximately $25,000 a day and $350 million of charter rates climbed to $30,000 a day. And with that, I'll hand you over to Oeyvind for his remarks.
Oeyvind Lindeman: Thank you, Niall. And good morning, everyone. The macroeconomic starts are finally starting to align for Navigator. We are in an environment where gas and its derivatives are in high demand due to disruptions to longstanding trade flows and we are also experiencing a global realization that gas is a necessary lower carbon energy source as a stepping stone towards the future green transition. In addition, we are also seeing supercharged investments in North American natural gas liquids’ production, and infrastructure, especially from the midstream companies. One factor pointing to the NGL production environment is the rig count. U.S. rig count has gone from a low in March, 2020 of 244 to 728 today, a dramatic increase. In connection to this we are seeing renewed interest in debottlenecking European import infrastructure to enable reliable seaborne imports across the Atlantic for all gases, being LPG, petrochemicals, and ammonia, all of the products we carry. In addition, the tonnage situation is restricted to prolonged squeeze on supply chains and commodity prices such as steel, leaving at least the handysize segment with only 7% feet growth over the next three years. All of these factors set the stage for robust freight environment going forward. We expect America to go from strength to strength as a reliable producer and exporter of competitively priced gas products and derivatives. And Navigator is perfectly positioned to benefit from these positive developments. We can clearly visualize this growth on Page 13. It shows natural gas liquid production in North America and exports. U.S. propane production for the month of April set a record of approximately 2,400 barrels per day. Ethane is closely linked to increasing natural gas liquid production, and is also on the rise. Domestic demand remains relatively stable and hence any new incremental volume reinforces continued U.S. competitive pricing compared to other parts of the world and continuing demand for seaborne transportation. East Coast export terminals are also increasing exports with markets reaching record levels of LPG throughput in April and Repauno’s export terminal in New Jersey has recently commenced their LPG export program once again. The demand for Handysize shipping is reflected in third-party broker’s time charter assessment. We can see that the market sentiment for shipping rates is strengthening on Page 14. Our core handysize ship types with ethylene capable, semi refrigerated or fully refrigerated vessels have steadily improved since the low in September 2021, and are now showing between $900,000 a month to a range of $650,000 a month depending on the ship type. We have recently extended four semi refrigerated vessels for 10-month time charters above the assessed rate quoted by third-party brokers, meaning that the curve takes a little while to reflect current market dynamics. Our employment mix is continuously changing to the needs of our customers. The graph on Page 15 illustrates our earnings days. Our first quarter is showing two trends. First, 13% of our earnings days are in ammonia. This is the highest proportion in Navigator’s trading history, and we believe this is set to continue as we go forward. The world has woken up to the opportunity of blue and green ammonia for in the first instance, carbon free feedstock for more efficient crop production and food security. And secondly is potential for carbon free vessel fuel. Blue ammonia ties nicely in with America’s unique position with cheap natural gas and easy access for carbon caption storage geology. The second trend is showing our earnings days on petrochemical time charters are up tremendously. During the first quarter, we had eight vessels on time charters employed in carrying propylene, ethane, and ethylene. I think it’s a reflection of the changing industry’s appetite for reliable virtual pipeline service of these products, as opposed to traditional petrochemical spot market. In a way, it is an extension of the American midstream business model reaching overseas to international markets. Provided U.S. ethane is priced competitively, the U.S. produced ethylene in turn should also be attractive to international consumers. Page 16 illustrates a continued arbitrage between America to Europe and to the Far East. This arbitrage supports record volumes of ethylene being exported from the U.S. Gulf. And we expect a minimum of 250,000 tons of ethylene to flow through our Morgan’s Point ethylene export terminal for the second quarter. With a joint venture terminal now delivering on its potential and U.S. natural gas, liquid fundamentals coming back into vogue, we have started to look at the potential to expand the terminal together with Enterprise. We are currently evaluating disability in terms of engineering cost climbing, customer appetite, and various permits in order to get a better understanding of the project as a whole. The tonnage situation in the handysize segment is very large [ph]. On Page 17, illustrates [indiscernible] as I mentioned before 7% increase for the segment over the next few years. We are confident that incremental supply of product and thus demand for vessels should materialize to accommodate these additional units. And there in mind that 20% of handysize vessels on the water today are about 20 years of age and therefore the situation can further be balanced should these vintage vessels be recycled. So all in all, on the following page, Navigator is very well positioned with record quarter EBITDA and robust liquidity situation, which are directly influenced by 90% – around about 90% utilization rates, rising ethylene, rising charter market, strong ethylene export through the terminal and all these things where we think is set to continue in the outlook. There’s limited vessel supply, continued production increases in North America on all gas products and derivatives, lot of investments in the infrastructure. So we are set to – we believe that the starts [ph] as I opened with are pretty much aligned for a positive environment for Navigator to thrive going forward over the next couple of years. Thank you very much. Back to Randy.
A - Randy Giveans: Thank you, Oeyvind. So, yes, we’ll now open the line for some Q&A. [Operator Instructions]. So first question, your line is open. It is on mute.
Ben Nolan: Randy, can you hear me?
Randy Giveans: Can hear you now, go…
Ben Nolan: This is Ben. Yes, there we go. This is Ben Nolan over at Stifel. Hey, so, I have a couple, Oeyvind, you’d mentioned recontracting some of the vessels and I assumed they were Canadian exports. Any sense and appreciating that you might not want to say specifically, but relative – let’s just say for the vessels that you do have on contract across the fleet, any sense of sort of what the uplift is in rates on a percentage basis relative to where things are currently contracted?
Oeyvind Lindeman: These particular vessels that you’re referring to are indeed the ones trading, taking not a Canadian product from the West Coast to Asia, and the rate is 20% a year-on-year up. But they are higher than what some of the third-party ship brokers are quoting for a 12-month time charter rate in that segment. Traditionally, handysize rate assessment lags, where it goes up or down because there’s not that many transactions happening here from week to week. So there is definitely the rates that are being done for those trades are up on what you see publicly published by some of these ship brokers.
Ben Nolan: Okay. That’s very helpful. Appreciate that, Oeyvind. [Ph] And then moving over to the ethylene terminal, obviously you guys are talking about the possibility of expanding and Enterprise has been very vocal about that themselves. Just thinking about this strategy, I know when you did Phase 1, the idea was to basically have almost everything fully contracted before making that final investment decision. With this being an expansion and in a good market, are you thinking of it the same way or would the joint venture be willing to maybe move forward with the project, even if it was whatever 60% contracted or pick a number?
Oeyvind Lindeman: One thing to keep in mind Ben is when we did the original joint venture Phase 1, we can call refer to it as Phase 1. The pipeline taking product from Mont Belvieu down to the terminal was upsized in anticipation of a potential expansion. Similarly, the storage tank above ground storage tank was upsized from 50,000 cubic to 60,000 cubic because we both felt Enterprise and Navigator that we should be prepared for a future for potential space to doubling capacity. And then you needed those assets to be capable of doing that. So, that’s all in place. So and that was an incremental cost at the time. So when the assets are there for a potential expansion, you would – the strategies that we probably don’t need 94%, 95% throughput commitment for the project to go ahead, what that level is, what level is both Enterprise and Navigator comfortable with that is a different question, which we are investigating at the moment.
Ben Nolan: Okay. Fair enough. And then lastly for me, and I’ll turn it over. As a lot of this new capacity is coming online, whether it’s from the ethylene terminal or other LPG and petrochemical exports coming out to the United States, you talked about only a 6% order book, it seems like there could be room for additional orders. I guess I was first curious if you guys would be contemplating that and/or is there any appetite on a part of Navigator to maybe do M&A or go out and as was the case last year increased the size of the fleet through existing assets?
Michael Schroder: I think it's something that is on our mind. We're looking at it continuously, we always have. The thing with ethylene is that it's competing with ethane, so there will be competition between ethane and ethylene markets for shipping. So we envision our situation whereby we will move some ships from ethane trade into ethylene. So to give an example, today our ethylene Luna Pool is about 50-50% –50/50 ethane/ethylene. The tonnage is there depending – just depends what the product is willing to pay. But if all the ships that are trading today moves from ethane to ethylene there's enough, but then the question is what will happen to the ethane trade? So it's a bit of a dynamic situation between the two.
Ben Nolan: Right. And then I guess the question is how do you resolve that? Is it through new buildings? Is it you guys taking a bigger position through secondhand acquisitions, perhaps?
Michael Schroder: It's all on the spectrum, but what we can do and what we can control today and so forth [indiscernible] and who we contract with and what product we ship on the existing assets.
Ben Nolan: Right, right. Okay, that's fine. Good enough. I will turn it over to appreciate it. Thank you, guys.
Randy Giveans: Thank you, Ben. All right, next caller. We'll open up your line now.
Chris Robertson: Hi, good morning, gentlemen. This is Chris Robertson at Jefferies. How are you?
Niall Nolan: Thank you.
Oeyvind Lindeman: Howdy.
Chris Robertson: So throughput has been elevated in April and May at around 100,000 tons in the month. Can you talk about your expectations for June and how that might relate to any technical or operational capabilities or limitations there? And then following up on that, can you talk about any expectations for seasonality in the back half of the year?
Oeyvind Lindeman: Hi. Chris, thanks for the question. For the ethylene terminal, Q1 was 267,000 tons. For Q2, it will be above 250,000; so close to Q1. So April and May, about 100,000 tons, June will be a little bit less. Why? It's more of a tactical approach from the joint venture whereby it takes time or 125 tons an hour to fill the tank. So we want to start July second – third quarter, 1st of July with a full tank. So at the back end of June, the terminal is unlikely to have full export capability or throughput because you want to go out to the bank 1st of July. So it'd be a little bit less in June, but overall similar to Q1.
Chris Robertson: Okay. Yes. Thanks for the color on that. And then, so just looking at the ethylene terminal with the expansion plans, but I wanted to ask more on the east coast operations. So given the situation with Russia and Ukraine at the moment, Europeans trying to source energy from different suppliers, and maybe that being a more structural change in the long-term, have there been any plans or discussions around expanding operations in the Northeast to supply Europe?
Oeyvind Lindeman: I think you're absolutely correct in the assessment that Europeans are woken up to the fact that they need to diversify supply, reliable supply of all energy products including LPG, including ammonia, including petrochemicals. So where do they look? Well there's not that many places they can look, but the closest one is east coast of America. So we have seen an increase of exports from the east coast on propane to Europe, and that is for sure set to continue in a bigger way than we have seen in the past because Europeans need it. What is happening now is that the post winter Repauno [ph] started export operations from New Jersey. Marcus Hook, they have connected and finally commissioned [indiscernible] 2x. So the east coast is set to help and support the European demand. And the effect of that is longer. The ships have to say longer to docks. Opening remarks is that the disruption is happening and we see it, and instead of sourcing product from closer locations, then you have to look across the Atlantic. So for shipping demand this is generally a positive. But the U.S. east coast absolutely will play a larger role in providing energy security for Europe.
Chris Robertson: Thanks for the color on that, Oeyvind. Appreciate the time guys. Thank you.
Randy Giveans: Thanks Chris. All right, next caller?
Climent Molins: Good morning, gentlemen. This is Climent Molins on from Investors Edge. Thank you for taking my questions. Following up on the increasing rate environment in the sector, I was wondering if you could provide some further commentary on the charter market. Past two year or three year contract seen similar increases or have these increases mostly taken place on shorter term fixtures?
Oeyvind Lindeman: Thanks for the question, Climent. Traditionally the handy size time charter market is around about 12 months. That is a typical duration in our segment. So at any given point in time, if you have 12 month time charters, they need to be renewed as you – as we move through the year. So depending on the market conditions at those particular points in time, then traditionally we are able to increase rates or drop rates in this current environment. We are on up-cycle. We talked about starts aligning, there's a lot of – there's many fundamental reasons why the shipping market – our shipping market is tighter or more balanced than it has been in the past. So renewal of time charters that are coming off, we have seen and we commented are at higher rates than we've done 12 months ago. So we're in – we are in an up cycle we believe, and we feel it, and we can show to an increasing average rate across the board.
Climent Molins: All right. That's all for me. Thank you, guys, for taking my questions.
Randy Giveans: Thanks Climent. I see another raised hand here. Go ahead. Your line should be open. Just make sure you un-mute your call.
David Cohen: Hi, this is David Cohen from Minerva Advisors. I'd be interested in any commentary you could provide with regard to the linkage between the change in the accounting lives of the vessel down from 30 years and subsequent investment decisions you might make in the fleet. Is there a direct linkage? Is there an indirect linkage? Is there no linkage? Thanks.
Oeyvind Lindeman: Hi. I think in general there is no or very little linkage. The investment decision on vessels is made on its own merits and probably is a shorter timeline than, than either 25 or indeed 30 years. And it's certainly not something that we have looked at in the past to make an investment decision based on 30 years. So I don't think that's – that's a critical component of that decision. I think the decision made to move from 30 years to 25 was more about the evolution of the ships and the economics and the ecology of newer ships relative to old older ships. And as we've had some, and we mentioned that we've sold the Navigator Neptune which is 22 years of age this year, we can do a comparison between those ships and some of the new ones, which can be rather dramatic and not just economically, but also environmentally. So there is minimal linkage in terms of our investment decision based on either 25 or 30 years.
David Cohen: Thank you. Best of luck.
Oeyvind Lindeman: Thank you. Thanks.
Randy Giveans: All right. Looks like no further questions. So thank you again to all for joining us on this call and hearing and seeing again, our optimistic outlook for the future. If you have any other questions, feel free to email me directly, randy.giveans@navigatorgas.com. We'll talk soon.
Oeyvind Lindeman: Thank you.
Operator: Good bye.